Operator: Hello and thank you for standing by. My name is Tiffany, and I will be your conference operator today. At this time, I would like to welcome everyone to the Donaldson Company Q4 FY 2025 Earnings Webcast. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question and answer session. If you would like to ask a question during that time, simply press star, and the number one on your telephone keypad. I would now like to turn the call over to Sarika Dhadwal, Senior Director of Investor Relations and ESG. Sarika, please go ahead.
Sarika Dhadwal: Good morning. Thank you for joining Donaldson's fourth quarter fiscal 2025 earnings conference call. With me today are Todd Carpenter, Chairman, President and CEO, and Brad Pogalz, Chief Financial Officer. This morning, Todd and Brad will provide a summary of our fourth quarter performance and our outlook for fiscal 2026. During today's call, we will discuss non-GAAP or adjusted results. For fourth quarter 2025, non-GAAP results exclude pre-tax charges of $9.5 million for restructuring and other charges, primarily related to footprint optimization and cost reduction initiatives. A reconciliation of GAAP to non-GAAP metrics is provided within the schedules attached to this morning's press release. Additionally, please keep in mind that any forward-looking statements made during this call are subject to risks and uncertainties which are described in our press release and SEC filings. With that, I will now turn the call over to Todd.
Todd Carpenter: Thanks, Sarika. Good morning. Fiscal 2025 was a record year for Donaldson Company as we did what we do best, help our customers solve critical filtration challenges through the delivery of our high-tech solutions which protect precision equipment and help maintain a cleaner work environment. Increasing efficiency, mitigating risks, and reducing downtime. We did this through consistent execution of our strategy and created value for our shareholders. I will start with some full-year highlights, discuss our fourth quarter performance, and touch briefly on our expectations for fiscal 2026. Brad will then detail our financials. Lastly, I will provide some closing remarks before opening the call to questions. In fiscal 2025, we grew sales to an all-time high of $3.7 billion with growth across all segments. Expanded operating profit margin to a record 15.7% with an incremental margin of nearly 30%. Delivered earnings per share of $3.68, towards the higher end of the guidance range we laid out at the beginning of the year. Returned $465 million to shareholders largely through the repurchase of 4% of our shares outstanding while increasing our dividend 11% and focused our cost structure, including in life sciences, and made progress towards footprint optimization strengthening our foundation for future profitability while still investing for growth. Our team accomplished a tremendous amount in fiscal 2025 through macro uncertainty and cyclical headwinds. We ended the year on a high note, and I will provide some details on the fourth quarter including by segment. In mobile solutions, our strength in aftermarket is contributing to record results as we continue to win and gain share. In our independent channel, which eclipsed $1 billion in sales this year, partnerships like NAPA allow us to expand our reach and we continue to build these types of relationships. For example, in the fourth quarter, we signed a new partnership with Mighty Distributing System of America. Donaldson is Mighty's sole heavy-duty filtration supplier of Donaldson branded products and we are pleased with the early results. With respect to our largest first-fit business within mobile, off-road, sales grew after eight consecutive quarters of declines as we see tangible signs of trough or moving out of trough conditions in the agriculture market. For industrial solutions, IFS sales grew double digits through our create, connect, replace service model. I would like to touch on each piece briefly. Create. In dust collection, we are building new customer relationships and our OE channel sales hit record levels. Our generation sales were also strong as we continue to benefit from the power gen super cycle. Connect. We are deploying our connected solutions. This quarter, we increased the number of connected machines and connected facilities, and in fiscal 2026, we expect to grow the number of connected machines over 30%. Through this, we are strengthening our customer relationships and building this revenue stream for the future. Replace. Our razor-to-sell razor blade model is working with almost 50% of our quarterly industrial segment sales now driven by higher margin aftermarket sales. Service. This quarter, we acquired our third service business RPS Associates of New England. RPS brings forty years of experience in dust collection services with customers in aerospace, defense, and other metal manufacturing industries and also adds a new geography to our service footprint. Moving to life sciences. And beverage sales grew over 20% both in new and replacement parts sales. We are winning share through key OEMs and channel partners in this high-margin business. In bioprocessing, through our downstream Purologic business, we announced the availability of the first manufacturing-grade product within the Purexa portfolio to support customers' GMP or good manufacturing processes. The Purexa membrane chromatography products enhance productivity with their high dynamic binding capacity, fast cycle times, and efficient and scalable format, allowing users to process their product more quickly and reduce process costs. Now I'll cover some consolidated company highlights for the quarter. Overall, sales increased 5% year over year to $981 million. Driven by volume growth, currency translation benefits, and pricing. Adjusted EPS was $1.03, up approximately 10% year over year. I'm proud of our results, and would like to give a special thanks to our global operations team who, once again this quarter, navigated the difficult macro landscape including the ever-changing global tariff dynamics. Brad will talk a bit more about the impact from tariffs but I want to emphasize my confidence in the muscle we have built to address challenges quickly and effectively. Also in the quarter, we progressed on our footprint and cost optimization initiatives. Remain in the heavy lift phase of this work and expect to be mostly complete by 2026. Through this, we have stayed focused on our customer needs. On-time delivery rates remain high, and our backlog supports our outlook over multiple quarters. I'm also pleased with our thoughtful expense management. While we lay the groundwork for a more efficient operating structure, it is important to note that we are making disciplined growth investments in areas through our R&D and capital expenditures including in areas such as solvent recovery, and new disk drive technologies in life sciences, and air and alternative fuels filtration in mobile solutions, cementing our leadership position in diversified technology-led filtration. Now I'll provide some detail on fourth-quarter sales. In mobile solutions, total sales were $588 million, a 2% increase versus prior year. Aftermarket sales were $468 million, up 3% driven by strong demand in the OE channel from larger customers and market share gains in the independent channel. On the first-fit side, off-road sales of $95 million increased 5% as we cycled against weaker agriculture market conditions in the prior year. On-road sales of $26 million declined 20% as a result of cyclical declines in global truck production. Now on our mobile solutions business in China. Sales grew 14% year over year with increases in first-fit and aftermarket, marking the fourth consecutive quarter of growth. While we are still cautious in the near term on the overall market in China, we are encouraged by the traction we are gaining with local customers. This quarter, we won another hydraulics program with a local manufacturer in the agriculture market, a sign of customer confidence in the Donaldson value proposition. Turning to industrial solutions. Industrial sales rose 8% to $310 million. IFS sales of $262 million grew 11% from new equipment sales in dust collection in Europe and North America and power generation project timing. Aerospace and defense sales were $47 million, a 6% decrease driven by a decline in defense sales following the completion of a few large projects. In life sciences, sales of $82 million rose percent compared with prior year. Double-digit growth in food and beverage and disk drive was partially offset by a decline in bioprocessing sales. In total, our results this quarter capped off a tremendous year for the company. Looking ahead, Donaldson is well-positioned to further strengthen our foundation and capitalize on improving market conditions and cyclical trends. As such, we are forecasting at the midpoint of our guidance ranges another record year in fiscal 2026 with total sales of $3.8 billion inclusive of sales growth in each of our segments. An all-time high operating margin of 16.4% ahead of the fiscal 2026 target we laid out one year ago. And record earnings of $4 per share. Now I'll turn it over to Brad who will provide more details on the financials and our outlook for fiscal 2026. Brad?
Brad Pogalz: Thanks, Todd. Good morning, everyone. I want to start by thanking the Donaldson team for delivering another strong year. We were navigating a complicated environment and had to make some difficult decisions particularly related to structural cost changes. And the teams delivered. Our approach is simple. Grow the company, grow profitability. Maintain expense discipline, make thoughtful investments, and return cash to our shareholders. We did that in fiscal 2025, and expect to do it again in fiscal 2026. Now turning to a few highlights from the quarter. Note that my profit comments will exclude the impact from the restructuring and other charges Sarika referenced earlier. Total sales increased 5%. Operating margin was a record 16.4%, up 10 basis points over the prior year. Adjusted EPS was $1.03, 10% above the prior year. And as expected, cash conversion was strong at 123% as we successfully worked down inventory and delivered to our customers. Going further into the P&L, gross margin was 34.8%, down 140 basis points from 2024. The impact from tariff-related inflation on our LIFO inventory valuation was significant this quarter. Expanding on this point, we use LIFO accounting for our US business. Can experience increased costs or benefits depending on whether we are in an inflationary or deflationary environment. The current inflationary environment resulted in higher costs accounting for nearly all of the year-over-year change. Said differently, excluding the impact of LIFO, in fiscal 2025 and 2024, gross margin would have been approximately flat to the prior year. In terms of underlying business gross margin, we remain in a solid position. Productivity headwinds in the quarter from optimization projects are being offset by efficiency and fixed cost leverage in our facilities. And we continue to do an excellent job managing price versus cost. Including those costs related to tariffs. Given the importance of the topic, I want to underscore our view that over time, we plan to be profit dollar neutral with respect to ongoing tariffs. We remain confident in this due to a few things. First, our region-for-region global footprint, Second, nearly 90% of our goods shipped from Mexico where our biggest exposure lies, are USMCA qualified and currently exempt from tariffs, and third, our pricing muscle. Which is strong and supported by the high-tech value of our solutions and our ability to deliver reliably to our customers. In addition to managing price versus cost, our team has successfully managed operating expenses during a fluid environment. Including with restructuring actions. In the quarter, operating expense as a rate of sales improved to 18.3% from 19.9% a year ago. A continuation of the positive trend we've seen all year. In terms of segment profitability, mobile solutions pretax profit margin was a record 19.1%. Up 80 basis points year over year due to the timing of inventory adjustments and leverage on higher sales. Industrial solutions pretax margin was also a record at 20.9%, up 80 basis points due to leverage on higher sales. Life sciences pretax margin improved to 5.3% from a negative 1.2% a year ago. Strength in high-margin food and beverage and disc drive sales and leverage from an optimized cost structure across the segment more than offset continued investment in bioprocessing as we work to scale these businesses. Now I'll walk through the details of our fiscal 2026 outlook. First, on sales. We are projecting full-year total sales to increase between 15%, with sales of $3.8 billion at the midpoint of this range. This includes pricing of approximately 1%. The impacts from both currency translation and tariffs are expected to be negligible. For mobile solutions, we're projecting sales to be flat to up 4%. We expect first-fit sales to rebound after comparing against 2025 a year in which we saw significant end market weakness in agriculture and transportation. Off-road sales are expected to grow mid-single digits, and on-road sales are projected to increase high single digits. Aftermarket sales are expected to grow low single digits from continued market share gains and vehicle utilization rates. In industrial solutions, sales are forecast to grow between 26%, driven by a mid-single-digit increase in IFS where sales are expected to improve across all businesses, including strategically important areas such as aftermarket and services. Aerospace and defense sales are projected to be flat after cycling against record levels in the prior year. In life sciences, we expect sales growth between 15%. From continued momentum in our larger legacy businesses food and beverage, and disk drive. We also project an increase in segment profit margin in fiscal 2026 growing to mid-single digits as a rate of sales and building on our momentum from 2025. For the total company, are projecting full-year operating margin once again at record levels. And between 16.1-16.7%. At the midpoint, this is a 70 basis point year-over-year improvement. Driven by gross margin expansion and expense leverage. Our expected performance represents an incremental margin of approximately 40%. Our EPS guidance is $3.92, to $4.08. Centered on $4 per share. The midpoints of our top and bottom line guidance ranges represent 9% earnings growth on 3% sales growth underscoring our ability to deliver higher levels of profitability on higher sales. During our Investor Day in 2023, we projected fiscal 2026 operating margin. At the midpoint of our guidance range, to be 16% along with an incremental margin over a cycle between 20-24%. While our end markets have not behaved as expected, taking the midpoint of our current fiscal 2026 guidance ranges we have more than delivered on our profit targets. Demonstrating our strong commitment to margin expansion over time, Importantly, our profit growth is about long-term structural changes, that involve both subtraction and addition. Meaning we are optimizing costs while investing in the most important strategic opportunities. Back to the fiscal 2026 outlook. Cash conversion is expected to be in the range of 85% to 95%. A year-over-year improvement and consistent with historic averages. Our cash generation, combined with our low leverage ratio, gives us tremendous financial flexibility to invest for future growth, and that is always our top priority when it comes to strategic capital deployment. From an organic perspective, we're continuing to find new ways to penetrate new and existing markets through our R&D investments as well as capital expenditures. Which are forecast between $65 million and $85 million and include key investments in new products, and technologies across all of our segments. We are highly committed to expansion through M&A, and actively work through a pipeline of opportunities, largely in our life sciences and industrial businesses. While we have the capability and the commitment we are disciplined in our activities. Pursuing opportunities with our strategic and financial criteria in mind. As we've demonstrated, the ongoing return of cash to shareholders is part of the Donaldson DNA and the value we create. Our financial performance has allowed us to pay and increase dividends annually for decades. And calendar year 2025 is expected to be no exception marking the thirtieth year in a row of increases. Allowing us to maintain our constituency in the S&P high yield dividend aristocrat index. Further, in fiscal 2026, we are forecasting a repurchase of 2% to 3% of our outstanding shares. Through the strength of our global teams, technological expertise, and deep customer relationships, we look forward to delivering for all of our stakeholders in fiscal 2026. Now I'll turn the call back to Todd.
Todd Carpenter: Thanks, Brad. Donaldson is the leader in technology-led filtration and we are strengthening that position. We have a proven history of focusing on our customers' needs through all market conditions and continue to advance our value proposition through our strategic initiatives and disciplined investments. The essential nature of our products for customers enables our razor-to-sell razor blade model which has penetrated across our business fueling our durable, profitable growth today and for the future. Our success would not be possible without the talented Donaldson employees around the globe. I would like to close by thanking them for their dedication and service and I am excited about what we will collectively accomplish in the future. With that, I will now turn the call back to the operator to open the line for questions.
Operator: At this time, if you would like to ask a question, press star, then the number one on your telephone keypad. To withdraw your question, simply press star 1 again. Your first question comes from the line of Brian Blair with Oppenheimer. Please go ahead.
Brian Blair: Thank you. Good morning, everyone. So let's see here. I was, an interesting comment on ag demand as being, you know, at trough or potentially moving off trough. That's encouraging. To level set on that, when did ag orders bottom? For your team? And what kind of growth are you seeing in the early part of fiscal 2026?
Todd Carpenter: Yeah, Brian. So, this is Todd. When you really look at what ag has done, you know, it's a pretty low comp. And so consequently, it's tough to imagine that it's gonna fall further. Ag, we feel, bottomed within the quarter. Because we did see some slight uptick but we're not talking double-digit uptick or anything like that. We're talking low single digits and we were encouraged the fact that it has stopped falling.
Brian Blair: Okay. Understood. In terms of the commercialization of your bioprocessing solutions, we know that the timeline has been delayed relative to earlier expectations. Should we think about fiscal '26 progression? And is there the prospect of growth inflection? And with that, can bioprocessing in isolation get to breakeven EBIT or potentially inflect to profitability?
Todd Carpenter: So when you look at the total life sciences segment, our traditional businesses, they're doing quite well. Performing to all profit expectations, etcetera. They're growing nicely. Clearly carrying the day within the life sciences guide. When you then get into the upstream portion of bioprocessing, that's more muted. Clearly, as capacity expansion, large projects. Those still have not seen any kind of a turnaround creating headwind in the business. Then the second piece of this would be of the bioprocessing story would be the downstream application piece where we're creating new products to bring those out to market to create revenue and growth in that fashion. That is taking a little bit longer to get those projects to market. We've made really good progress in 2025. We do not see the revenue expectation really with a high kind of a bounce in '26. That's likely more in the '27 time frame, as we get through testing of those products and bring them to market, perhaps as in the later part of fiscal 2026. Some of those products have been released. You saw those kind of announcements, with our Purexa type of a brand as well. ISolar Bio has also released some of those. But you know, we still have more to release. And so you baked all of that into the life sciences guide, and that's where you see the mid-single-digit growth. Where it's coming from.
Brian Blair: Got it. I appreciate the color there. One more quick one, I'm sorry. May. The ISS outlook for mid-single-digit growth how is your team thinking about first fit versus aftermarket? Revenue growth this year, the latter obviously being inclusive of service revenue?
Todd Carpenter: So first fit, in within that business is, bit mix by region. The US and Europe continue to be strong. APAC's a little bit more troubled. LATAM is certainly troubled. But it's really a replacement part story at this point in time. For us because we continue to gain share as a result of our strategies, good execution. We do expect The US to hold, and we continue to take first fit share. But, really, it's largely a replacement part story within that business. Replacement parts were up broad-based. Across our industrial sector and particularly within multiple regions.
Brad Pogalz: Brian, this is Brad. I'll add one point is that I think what's encouraging about the plan is that it's also broad-based across the different businesses within IFS. It's not as though the IFS growth is predicated on one business really hitting hard, and then everything else is lukewarm. We expect this solid performance over the course of the year across all these businesses.
Brian Blair: Understood. Thanks again.
Operator: Your next question comes from the line of Nathan Jones with Stifel. Please go ahead.
Nathan Jones: Good morning, everyone.
Todd Carpenter: Good morning, Nathan.
Nathan Jones: I guess I'll follow-up on Brian's bio question. Obviously, the market there hasn't done you any favors over the last few years in terms of kind of hitting those Investor Day targets from a few years ago. What is it that you really need to fundamentally see change in those markets in order for you to see that ramp up in growth that we've been waiting for? You started to get into these markets?
Todd Carpenter: So first, we have to get our new product development across the finish line. Be able to really produce that at scale, that the customers really would like to see. We're in laboratories with tests. All of our products are very well received. They really love them. And we're just finalizing the development of being able to sell those at scale. Making sure we have GMP manufacturing capabilities, And it's those later phases of getting it ready for production is kinda where we are. We've gotta finish that off. And then we should be able to see some market pickup. But overall early returns as far as the capabilities, the differentiation, the disruption that it causes are really positive. But when we see the growth, it will be likely more in '27 where we really start to commercialize.
Nathan Jones: I guess that's the other question I wanted to ask about was on the connected side. I think you were talking about a 30% increase in the number of connected products in dust collection that you have out there. I mean, are we talking about going from 3 to 4% or 30 to 40% connected? And then, I guess and a follow-up question to that is how do you monetize that? Is this something that you can monetize on its own, or is this kind of value that's provided to the customer that results in pulling more hardware through rather than, like, a subscription model or something like that?
Todd Carpenter: Yeah. So, Nathan, it is not a subscription model. It is really deepening the customer relationships to be able to have them really manage their equipment more efficiently, either from energy savings giving them more uptime, And then that deeper customer relationship really allows us to do more business with them on a per equipment basis in all of the replacement parts as well as services. And we have proven with the thousands that we have connected that we absolutely increase our replacement parts activities when we connect a piece of equipment versus a non-piece of equipment. You see that as one of the drivers. You know, there were years ago where our IAF business would be more sixty percent sixty-five percent first fit and then 35 to 40% replacement parts. Today, we're at fifty-fifty. So you can see how that replacement parts and that connect them based products is really helping us mix that particular business profitability up. And that's the importance of that strategy.
Nathan Jones: Great. That makes perfect sense. Thanks for taking my questions.
Operator: Your next question comes from the line of Brian Drab with William Blair. Please go ahead.
Brian Drab: Hi. Good morning. You know, what you guys have done with the margins over the last four years is pretty incredible. And I'm just wondering, can you talk about how a little bit further about how you get 40% incremental operating margin in fiscal 2026 after such strong incrementals. This year, it's going even higher. Maybe to start there, and then I have a follow-up.
Brad Pogalz: Sure. Hi, Brian. This is Brad. First off, if you just pick the midpoint of our op margin range, sixteen four, about 70 bps up from prior year. The largest portion of that is coming from gross margin expansion, and then we are gonna get some expense leverage as well. Given the more muted sales environment that we're dealing with, we're continuing to push for a structural to benefit from the structural cost reductions that we had this year. So we'll expect expenses to stay very under control. And then the gross margin is bouncing back a little bit from the LIFO that I mentioned, but we're also able to, we do expect to offset the tariff impact. Price versus cost will remain okay for us. And then on top of it, it's as we get through some of the footprint work, gonna start lapping the heavier lift there later in the year, and that'll give us a little bit more of a tailwind. I'm talking basis points here. I'm not talking points. But overall, the formula for that incremental, I think, given the environment is pretty positive, and, obviously, we're celebrating that a bit too.
Brian Drab: How do you expect it to trend throughout the year? You know, the operating margin, is it gonna be moving up throughout the year, or is it a big step up in the second half? Or, you know, how does it look?
Brad Pogalz: Yeah. We'll continue to move. We'll continue to step up over the year. And then one thing, just to give some perspective on how to think about it in terms of the semester, is we often talk about our sales being tilted towards the back half. You know, it's kind of a 48, 52, 49, 51. I can tell you profit margin is typically more tilted than that. So, you know, by several points difference where the back half gonna generate more profit, as we get a little bit of a sales pickup and then leverage fixed costs as well.
Brian Drab: Okay. Now in a situation where you hit the midpoint of the guidance, you mentioned one point of price. That would give us, like, 2% volume growth for fiscal 2026. How does that look in terms of a progression throughout the year, the growth rate? Can you talk about what growth rate you're expecting each quarter?
Brad Pogalz: Yeah. I would say you can look at a two-year as a bit of a smoothing mechanism, but it looks in fiscal 2026 that that quarter by quarter percent increase looks much less dramatic than it did in fiscal 2025. In terms of volume versus price, we're actually fairly consistent with pricing quarter by quarter. There are some moments where as we implement new pricing we typically do in certain markets in January, so there's a little bit of a step up there. But overall, it's that's much more muted. The variability then comes from volume tends to come from volume.
Brian Drab: I guess I didn't really understand the first part of it. Like, is there a chance that you're gonna see, like, one like, a first half of the year that's flat and the second half up 4% in terms of volume? Or is that 2% pretty smooth throughout the year? I'm sorry if I missed that.
Brad Pogalz: No. No. No. It's plus or minus. But, again, I would point you back to the forty-eight fifty-two ish. For the sales mix. That'll get you where you need to be.
Brian Drab: Yeah. Understood. Okay. I'll pass it on. Thank you.
Operator: Your next question comes from the line of Laurence Alexander with Jefferies. Please go ahead.
Laurence Alexander: Good morning. I guess, first of all, just a near term on demand. Can you give a little bit of detail on what you're seeing in China and the mix there aftermarket versus FirstFit now? With regards to commentary on backlogs, can you characterize how current backlogs compare with I don't know, whatever you view as, like, typical? And then I have a longer-term question.
Todd Carpenter: Sure. So hitting those two real quick. So China incoming orders are up. You know, obviously, much easier comps. We're pleased to see some positive economic progression there within the quarter. But we also remain cautious, a little bit cautiously optimistic with China. And is China gonna be strong going forward? You know, not sure. So we're a bit more careful. On the outlook of China. Our team continues to execute real well there. We continue to win new projects. And so we continue to be optimistic, but also very careful. Relative to overall company backlogs, I would tell you our backlogs support the guide. We feel very comfortable with that. Also, very important is our late backlog as a percent of sales are now below pre-pandemic levels, and that really is the reason for my comments in the opening remarks congratulating our operations team who just had a fantastic year taking care of our customers and helping us grow our business.
Laurence Alexander: And then with respect to the margins, I wanted to see if I can frame this in a way that you'd be willing to nibble on or answer somewhat. As you think about the parts of the business that have the weakest end markets currently? Can you characterize their margins relative to the rest of the company? And, really, what I'm trying to get at is it's been quite a while since we've seen multiple years of decent end market demand. If you did get three, four years of decent end markets, not sort of red hot, but decent. Is it reasonable to think that your margins for the overall company could move into the low twenties given the incremental margins you've been consistently posting? Or is there anything structural in your mix that would be an obstacle to that?
Brad Pogalz: Hi, Laurence. This is Brad. So I'll nibble. I think the first thing is the composition and the stratification of margins is important. No secret. We've talked about it for a very long time. In the of our businesses, OEs tend to have a lower margin gross margin rate than the rest of the company. So to your question, as we expect that those will rebound at some point, we don't know when, hopefully, we are at this bottom level we've talked about. But that would create some mixed pressure within our gross margins. But at the same time, we feel like we're in a very good position with our structural costs and things like our footprint optimization, consolidation of plants, all of this gives us a chance to leverage more aggressively than probably we would have in prior periods before this work was done. So I'm not gonna peg it to a number, but, you know, as you talk about twenties, it's for us, the idea of continuing to expand our operating margin is absolutely alive and well.
Laurence Alexander: Thank you.
Operator: Your next question comes from the line of Angel Castillo with Morgan Stanley. Please go ahead.
Angel Castillo: Hi. Good morning, and congrats on the solid quarter here.
Todd Carpenter: Thank you.
Angel Castillo: You're welcome. I was just hoping we could expand a little bit more on maybe the kind of quarterly or first half versus second half cadence. I know you talked about ag and some of the other kind of puts and takes within some of their assignments. But if we could kinda go subsegment, you know, off-road, on-road, IFS, A and D, just how you think about each of those kind of first half versus second half? And where you're kind of seeing already, you know, fiscal 1Q type of trends in line with guide and where you kind of anticipate a little bit more of a second half pickup and what drives that confidence?
Brad Pogalz: Angel, this is Brad. I'll start. If we think about the first fit markets, I really do wanna reiterate a point Todd made earlier. It's not as though we're expecting some remarkable change in the markets. So if you think about it from over the course of the year, we would expect it to get better. That creates maybe more outsized movement in terms of the year-over-year increase. Especially with on-road. Just you know, we said high single digits. And I just wanna point out high single digits is millions of dollars, not tens of millions of dollars. Given the relative size of this business. So I think that's an important part as we look through the year. Just, you know, kind of smoothing it out. Again, I'm kind of a two-year stack person with some of these OE businesses because the comps have been noisy. Another one you brought up is aerospace and defense. And if you look quarter by quarter this current year, that was a very lumpy business due in part to orders, due in part to our ability to fulfill with our supply chain and more supplier constraints than ours. So that creates a little bit more of a dynamic approach by quarter. But I think as you're thinking about the total company settling into what I said earlier, in an earlier question about that $48.52 is an important starting point.
Angel Castillo: That's helpful. Thank you. And then I wanted to go back to maybe capital allocation. Could you give us a little bit more maybe update or thoughts on kind of the M&A pipeline? Your appetite for buybacks kind of beyond the 2% to 3% shares or shares outstanding. And then just on CapEx, your guidance, I think, it implies kind of a decline year over year at the midpoint. You just talk about what kind of the factors that are driving that and maybe what this how should we kind of read this from an organic investment opportunity and you know, as well as kind of potential benefits from OBVBA or other kind of assessments? What that decline in CapEx means.
Brad Pogalz: Sure. This is Brad again. I'm gonna start, and then I'll let Todd pick up on the M&A side. But as far as CapEx, if you think as a rate of sales, in that two, two and a half percent range. Fairly consistent. I would say, like we're talking about with lots of our customers, we're being very smart and sharp with our prioritization so that we're not introducing a lot of projects at a time where the world is still a bit more uncertain. So for me, I wouldn't read too much into that. It's more about we snapped a chalk line higher up on the list of good ideas. Versus lower on the list. Should things loosen up, obviously, we'll make sure that these are the right investments. Share repurchase. Obviously, last year, we juiced it at around the 4% level, and I think for us, it's about always having a balance. So to the extent that we can keep dry powder for possible M&A, and continue to give cash back to shareholders. That's it. There's nothing real precise about that calculation as much as it's an ongoing conversation that Todd and I have as we think about how to best use our money at the time. So the two to 3% is much more of a normal. That's kind of where we started last year. We're typically in the two-ish percent range. And, again, I think this is about starting the year with more of a normal position.
Todd Carpenter: And then just, Billy, on your M&A question. So our capital priorities have not changed. They remain invested in the company for organic growth, by companies. So, take care of and continue to invest for inorganic growth. Dividends, then share buyback. And then so we still have an appetite for M&A. You know, we still have a strong balance sheet that allows us to do that. We still have teams working on that. We have a very good pipeline. It's obviously strategic and focused. And we continue to work on that, and we'll continue to do so as part of our ongoing strategy.
Angel Castillo: Very helpful. Thank you.
Operator: Your next question comes from the line of Tim Fine with Raymond James. Please go ahead.
Tim Fine: Thank you. Good morning. I just a question first on the aftermarket business, specifically in the mobile segment. And, Todd, you mentioned high utilization rates. As one of the kind of the sound bites there. Can you maybe go a little bit further in terms of in the outlook? I mean, if you go through some of these markets, and, obviously, it's a global company, but in your largest market in North America, you know, we've been depressed for some time on a first-fit basis. I'm just curious in your outlook in terms of by segment or as you look through the different channels what you're hearing from dealers, from customers in terms of just kind of the underlying, you know, change in activity? Is it a stocking level? Is there anything that you can expand a bit further in terms of what's kind of driving your outlook for that part of the business?
Todd Carpenter: Sure. If you look at our mobile solutions aftermarket, remember, 40% of that business OE, and 60% is in the independent channel. In 2025, the year we just finished, our OE business had a bounce. They were really restocking, if you will, and our independent channel was a bit more muted. Going forward, given the share gains that we have in the independent channel, you know, we're very proud to have hit $1 billion within that segment last year. We do have share gains that we've baked into our forward look. We would expect more of an increase on the independent channel than the OE channel in '26. That's what we've baked into the guide. So they're kind of on different timing on each other, but you wrap that all together, we're still gaining share and still would expect to grow that business, particularly in The US.
Tim Fine: Okay. And I'm guessing you don't wanna get too fine aligned on this, but is the opportunity with Mighty is it in a similar kind of should we think about that as a similar ZIP code as in terms of the benefit from NAPA? Or any help on that?
Todd Carpenter: Sorry. We're not gonna give you any help on that. We're just proud to have them onboard and actually, having a strong relationship building with them. We're really not gonna guide on a single customer. Going forward.
Tim Fine: Okay. Last quick one, Todd. Just on the you mentioned that this power gen super cycle. Any comments there in terms of Is that getting to the point where backlog coverage? You're starting into conversations? I'm guessing you're your book further out than normal. Any color just on that specific piece of industrial?
Todd Carpenter: Sure. That business is full. The capacity we could probably sell, if we had more capacity, more. But within that business, those projects are difficult to execute. And so we remain very, very focused on executing. We do not see an end in sight. There has been no indication of the super cycle cooling at all. And so we're really happy with our position. The customers are happy. We've been delivering quite nicely. That just continues at a minimum through this full fiscal year. And you're right. We have a very long look. It's probably the longest look on backlogs in the company at this time.
Brad Pogalz: Tim, this is Brad. I just wanna add a little pile on to the power gen. The other thing that I think is really a testimonial to the team is there's still projects that we lose in that space because we're setting a certain price and we're committed to not taking bad business in these spots. If it doesn't meet our return criteria.
Tim Fine: Understood. Thank you.
Operator: Your next question is from the line of Brian Drab William Blair. Please go ahead.
Brian Drab: Hi. I'm sorry if this was just asked, but you just said you wouldn't talk about a specific customer. But my question was going to be you know, you're forecasting growth in these end markets, the heavy-duty end markets that have been really challenged, and you also mentioned some incremental distribution wins, which you mentioned upfront. So I imagine are somewhat important or material. But I'm just wondering if is your increased distribution presence contributing to your positive outlook and maybe outgrowing the market in the near term?
Todd Carpenter: Yes. As well as, other share gains as well. It's not just a single customer there. The team within our mobile solutions aftermarket organization is doing excellent work. They continue to expand Donaldson's presence, take care of the customer, win important customers. They're just doing a great job. And we're benefiting from it. And then we make that into the guide.
Brian Drab: Yep. Okay. Thank you very much.
Operator: Your next question comes from the line of Tim Thein with Raymond James. Please go ahead.
Tim Thein: Sorry. Last one for you. Todd, it's maybe it was a quarter or two ago you were kinda skeptical or you pushed back a bit on this notion of a potential, you know, reshoring, reindustrialization, you know, large project surge in North America. Not surge, but, you know, pickup. It has as you as you talk to customers, is that kinda big project quoting pipeline? Is it have you seen any change in either direction on that, or is the tone of your customer conversations change at all?
Todd Carpenter: My tone doesn't change. I would say our team's, particularly sales teams within FirstFit equipment in The US with, for our industrial segment is doing excellent. We did have nice growth last year particularly within the dust collection, side of things. We expect more this coming year. The quote, backlog is solid. Things have not abated at all. But I would also say it really accelerated to a notable degree worth mentioning here. It's just we're doing a good job. We've got good products. We've got good people to take care of the customers, and we're executing quite well. And we're very proud of that.
Tim Thein: Thank you.
Operator: That concludes our question and answer session. I will now turn the call back over to Todd Carpenter for closing remarks.
Todd Carpenter: That concludes today's call. Thanks to everyone who participated. We look forward to reporting, in about ninety days our first quarter results. Have a great day.
Operator: Ladies and gentlemen, this concludes today's call. Thank you all for joining. You may now disconnect.